Operator: Greetings and welcome to the Flux Power Holdings, Inc. fiscal third quarter 2025 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. Before we begin the formal presentation, I would like to remind everyone that statements made on the call and webcast may include predictions, estimates, or other information that might be considered forward-looking. While these forward-looking statements represent our current judgment on what the future holds, they are subject to risks and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of the date of this presentation. Please keep in mind that we are not obligating ourselves to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Throughout today's discussion, we will attempt to present some important factors relating to our business that may affect our predictions. You should also review our most recent Form 10-K for a more complete discussion of these factors and other risks, particularly under the heading "Risk Factors." A press release detailing these results crossed the wire this afternoon at 4:01 PM Eastern Time and is available in the investor relations section of our company's website, fluxpower.com. Your hosts today, Krishna Vanka, Chief Executive Officer, Kevin Royal, Chief Financial Officer, and Jeff Mason, VP of Operations, will present results of operations for the fiscal third quarter ended March 31, 2025. At this time, I will turn the call over to Flux Power Holdings, Inc.'s CEO, Krishna Vanka.
Krishna Vanka: Thank you, operator, and good afternoon, everyone. I'm very pleased to welcome you to today's third fiscal quarter 2025 financial results conference call. Since joining Flux Power Holdings, Inc. in March, I have spent some good time engaging with our internal team, product, customers, and partners. This has given me a clear view into how our solutions drive value for our customers, and I am very much focused on scaling responsibly and profitably. With that said, based on this insight, we have aligned our five strategic initiatives that will guide our execution, culture, and performance metrics moving forward. Let me take them one by one with you. Number one, profitable growth. The top priority here is achieving consistent quarterly profitable results as we scale. Number two, operational efficiencies. We are aggressively optimizing our supply chain and internal processes to reduce costs, especially amid this tariff uncertainty. Jeff Mason will touch on tariffs in more detail later on this call. Number three, solution selling. Led by our Chief Revenue Officer, Kelly Frey, this initiative is transforming how we sell by aligning our offerings to the customer's problem. Number four, build the right products. We are focused on creating innovations that will meet real customer needs while expanding our margins. Number five, software and recurring revenue. Very exciting here. Sky EMS, our intelligent battery platform, is the foundation for a broader recurring revenue strategy. With that said, today, I do want to do a little bit of a deep dive into those last two initiatives. With the launch of the G96 solution, the platform is advancing the electrification of airline drone support equipment by addressing growing demands for higher power, greater intelligence, and sustainable operation. This product is helping us further expand our portfolio to support high energy demand pushback tractors, positioning Flux Power Holdings, Inc. as a technology leader in the shift to clean high-performance GSE electrification. We continue to develop and expand our Sky EMS platform to support the full life cycle of an intelligent battery. What does this mean? Number one, plan. We will provide tools for fleet and infrastructure planning. Number two, operate. Providing real-time operational insight. Number three, optimizing the usage on the fleet. Number four, predictive maintenance. Number five, providing recycling with respect to the second life option. Sky EMS is already in pilot with select customers. As you may have noticed, earlier this week, we announced a patent award for intelligent battery life cycle maximization, which is an appropriate AI-based algorithm. As Flux Power Holdings, Inc. accelerates its evolution from a battery manufacturer to a tech-driven energy solutions provider, these innovations and our Sky EMS software will play a central role. For us to achieve this vision, we are planning to have every battery we ship to be cloud-connected moving forward. We are incredibly excited about Sky EMS, and we'll share more details about this software strategy on our future call. I will now turn the call over to Jeff Mason to give the cooperation update.
Jeff Mason: Thank you, Krishna. As geopolitical complexities continue to influence global trade, we remain steadfast in our commitment to operational resilience and value creation. We are responding to tariff pressures and accelerating our roadmap to sustain momentum. Our product does contain a partial made-in-China content that is impacted by the latest tariffs. We have already updated our price list and shared it with our customers. Considering recent tariff changes impacting the global supply chain, we are rapidly adapting sourcing tactics as part of our short-term supply chain response. We are accelerating the evaluation of new suppliers, particularly for battery cells and other raw materials. We will continue supplier continuity by maintaining existing long-term supplier relationships while transitioning to alternative regions with lower tariff exposures. We are reinforcing the company's commitment to LF battery solutions to ensure we meet our existing customer needs and requirements. And we are investigating new battery chemistries tailored to specific applications, ultimately providing new opportunities for our existing and future customers. Our long-term supply chain strategy has adopted a commodity-based sourcing strategy to ensure resilience and cost efficiency in key material categories. We are focused on partnerships and building strategic alliances with OEM suppliers and manufacturers who can consistently deliver high-quality and competitively priced components. We are also focused on supplier diversification, reducing the exposure to high tariff regions by onboarding qualified suppliers across alternative regions, including North America. Our objective is to establish a diversified and agile supply network that supports long-term scalability and innovation. Looking ahead, we are working toward domestic assembly and manufacturing expansion. We are committed to scaling domestic assembly capabilities in the US with a focus on reducing exposure to international logistics and tariff zones. We are also planning to accelerate R&D investments, including tariff-resistant product design. Our engineering teams are prioritizing designs that use lower tariff materials, including potential new chemistries. We're also advancing innovation partnerships and collaboration with US-based companies to secure future supply chain at competitive costs. Despite near-term global headwinds, our proactive strategy ensures three goals: maintain optimal margins, sustain growth driven by US-based manufacturing and product innovation, and long-term competitiveness with a cost-efficient diversified supply chain and scalable infrastructure. Taken together, we are transforming challenges into catalysts for future growth. I will now turn the call over to Kevin Royal to discuss the fiscal third quarter highlights and then walk through our business updates and financials.
Kevin Royal: Thank you, Jeff. Revenue for the third fiscal quarter increased 16% to $16.7 million compared to $14.5 million in the third fiscal quarter of 2024, driven by higher demand in the material handling and ground support equipment markets with unit growth of 10% and 25%, respectively. Revenue for the first quarter of fiscal 2025 was $16.1 million, and revenue for the second quarter of fiscal 2025 was $16.8 million. Gross profit for the third fiscal quarter of 2025 increased 32.5% to $5.3 million compared to a gross profit of $4 million in the third fiscal quarter of 2024. Gross margin increased to 32% in the third fiscal quarter of 2025 as compared to 28% in the third fiscal quarter of 2024. Gross profit margin increased by 374 basis points due to a decrease in warranty-related costs, partially offset by slightly higher material costs. We have a continued focus on product cost reduction in order to further improve our gross profit margins for the near-term target of 40% or higher gross profit margin. Selling and administrative expenses increased to $5.7 million in the third fiscal quarter of 2025 as compared to $5.3 million in the third fiscal quarter of 2024, primarily attributable to professional fees of approximately $500,000 associated with the multiyear restate of previously filed financial statements. Research and development expenses decreased to $1.1 million in the third fiscal quarter of 2025 compared to $1.3 million in the third fiscal quarter of 2024, mainly driven by lower salaries and severance costs. Adjusted EBITDA loss was $1.1 million in the third fiscal quarter of 2025 as compared to an adjusted EBITDA loss of $1.7 million in the third fiscal quarter of 2024. Net loss for the third fiscal quarter of 2025 was $1.9 million compared to a net loss of $3 million in the third fiscal quarter of 2024, primarily attributable to an increase in gross profit in the current quarter partially offset by the increase in selling and administrative expenses related to costs associated with the multiyear restatement of previously filed financial statements. Cash was $500,000 on March 31, 2025, as compared to $600,000 at June 30, 2024, reflecting changes in working capital management. Available working capital includes our line of credit as of March 31, 2025, under our $16 million credit facility from Gibraltar Business Capital with a remaining available balance of $3.75 million subject to borrowing base limitations and satisfaction of certain financial covenants, and $1 million available under our subordinated line of credit with Cleveland Capital. We continue to be in good standing with both Gibraltar and Cleveland Capital and remain confident in their continued support of Flux Power Holdings, Inc. in our long-term mission. I will now turn it over to Krishna for his final remarks prior to the question and answer session.
Krishna Vanka: Thank you, Kevin. As you saw, during the quarter, we delivered strong year-over-year revenue and gross margin growth driven by enhanced sales strategies and growing demand for our innovative suite of products. Here, we are shaping the future of intelligent energy solutions. Even with some of the tariff challenges starting to emerge in Q3, where every battery functions as part of a connected self-optimizing network. These evolutions allow us to deliver software-driven value that's going to extend beyond the traditional energy storage today, unlocking operational insights, predictive maintenance, and long-term efficiencies for our customers. I'm very excited about this future and look forward to keeping our shareholders informed as we execute against our strategic initiatives and expand our leadership in this market, supported by a growing diverse base of large enterprise customers. Thanks for joining us today. I'll now turn the call back over to the operator for the Q&A session.
Operator: Ladies and gentlemen, should you have a question, please press star followed by the one on your touch-tone phone. You will hear a prompt that your hand has been raised. Should you wish to decline from the polling process, please press star followed by the two. If you are using a speakerphone, please lift the handset before pressing any keys. First question comes from Craig Irwin with ROTH Capital Partners. Please go ahead.
Craig Irwin: Krishna, congrats on a strong quarter out of the gates. It's nice to see accountability driving execution at Flux Power Holdings, Inc. So congratulations there. The last several months, there have been positive developments in the airport ground support equipment space. It seems that both airport operators and airlines are looking to partner on ways to adopt environmentally responsible business practices. Can you talk about the sensitivity of these customers to potential pricing actions from tariffs and, you know, some of the volatility we're seeing for other areas in clean type technology like the withdrawal of subsidies? I know they generally weren't getting subsidies, but can you maybe talk about the commitment of these customers to their programs and their suppliers?
Krishna Vanka: Definitely. Thanks for the question. And yeah, as you mentioned, we are very closely working with our customers in the GSE. And they are well committed on a long term for their ESG goals and making the transformation. So it is very early for us to say, you know, the full impact of tariffs or the broader reduction of subsidies. But at this point, I can say that, you know, it's almost business as usual and their commitment to do the transformation. Work with us is on an accruing basis.
Craig Irwin: Thank you. The second thing I wanted to ask about is your Sky BMS. So you have had systems out there with major customers in testing. Customers that have partnered with Flux Power Holdings, Inc. to, you know, maybe shape and inform the functionality that they would like. What sort of feedback do you have from these customers as far as the potential ROI that they're seeing on the adoption of this technology? And, you know, maybe if you could also comment as well as far as on the maintenance side and the overall life cycle analysis. You know, whether or not you think this technology can extend the functional life of the systems you're deploying at customers.
Krishna Vanka: Definitely. Thanks for the question. And, yeah, Sky BMS moving forward is going to be a very important component on how our customers realize the value of our solution. And as I mentioned earlier, we already have multiple customers that are working towards, you know, integrating this technology into their day-to-day operation. The ROI is definitely, you know, going to come back in the form of reducing the number of visits for us to go, you know, do any maintenance because that data is going to provide that intelligence for us to remotely take care of a lot of issues. That's number one internally for us. Perspective, it's part of the ecosystem. This is where, you know, they already run their operations on different technologies, and this is where our Sky EMS, the APIs and then whatnot, we're going to bring the integration data together. So definitely a higher ROI than disconnected systems that they have today. The battery intelligence is going to be the central component both with the charger on one side and the fleet telematics on the other side.
Craig Irwin: Excellent. Then my last question is related to the forklift market and the adoption of lithium-ion you're seeing with your customers. So the short-term uncertainty we're seeing in the economy does not seem like it's really significantly disrupted capital plans or longer-term capital plans, I should say. Are you seeing any change or difference in the level of interest of these tier-one customers as far as adoption of lithium for their distribution centers over the next couple of years? Is this potentially driving efficiency initiatives of these customers that might bring you new opportunities as people look towards the other side of this short-term uncertainty?
Krishna Vanka: Yeah. Another great question. Thank you. We are very early in this process, as you know. But we are actually hearing that certain of our competitors honestly altered shipments altogether because they are subjected to higher tariffs compared to where we are. And we believe this actually is providing us an advantage to take more market share. We are seeing this in terms of increased level of interest coming from, you know, these types of customers. And, also, we have seen an increase in the quotation activities as part of our sales force. So as Jeff mentioned, we are turning this into a greater opportunity for us.
Craig Irwin: Great. Well, thanks again for taking my questions. Congratulations on the strong results. I'll go ahead and hop back in the queue.
Krishna Vanka: Thanks. Thank you.
Operator: Your next question comes from Eric Stine with Craig Hallum. Please go ahead.
Eric Stine: Hey. This is Luke on for Eric. Thanks for taking our questions. So first, we know that last quarter adding the new sales personnel was a big point of emphasis. You maybe just broadly talk more about some of the positive changes you've seen so far as a result of this new effort? And if you plan to make more additions to that team, maybe to target some more specific or underpenetrated end markets? Thanks.
Krishna Vanka: Sure. Definitely. Good question. I actually just invited Kelly Frey, our CRO, to this room. So Kelly, it's almost like the question came by. But I'll let Kelly answer your question there.
Kelly Frey: Yeah. There's the biggest thing that we've seen is that the market for lead-acid batteries, which is the first step towards electrification, very much is a commoditized product because it's not a very intelligent product if you will. It doesn't have a lot of data associated with it. When someone moves to lithium, you have an opportunity to take that data and use it to really fit into a larger solution that the client is trying to solve, you know, in terms of their overall energy usage, the overall life cycle of their equipment, be it in the support equipment market or in the material handling market. So if I were to put a bow around it, I would say that the real change that we've seen in the first couple of months that I've been here is the opportunity to position us as a software company that happens to have very good batteries. And that we fit into an ecosystem of telematics on the equipment, be it at the airport or in the material handling space. Or how that equipment might interact with the over-the-road fleet and the electrification of that. So, yeah, very exciting times.
Eric Stine: Right. Very helpful. Thank you. And just for a follow-up here. So last call, you talked about some heavy-duty models like the G96 now being introduced and deployed in the next few months. Can you maybe talk a bit more about how this timeline is sort of trending for deployment and what sorts of end markets you expect to serve here outside of airport GSE? Thanks.
Krishna Vanka: So that particular model is a gate towards the airports and the GSEs. It's with those types of trucks. That said, as you can see, we are evolving more and more into the higher voltage category here. Which means it can open up, you know, new verticals even or even more combination into this GSE market. As we support more and more models. So the product that we announced is already with customer test validating, and also in production. So it's great news for us. You're able to move forward pretty quickly last quarter, and this is the pace that we want developing and deploying new products.
Eric Stine: Great. That's helpful. I'll turn it over. Thank you.
Operator: Your next question comes from Rob Brown with Lake Street Capital Markets. Please go ahead.
Rob Brown: Good afternoon. Pretty good orders in the quarter. I just wanted to get a sense of what the order trends kind of are. I know the visibility is not as good now, but how do you sort of see the order trends? Do you continue to see a bit of a back-end loaded order book at this point?
Krishna Vanka: Yeah. This is Krishna, and I'll also let Kevin add anything after my answer here. But, fortunately, we have pretty good inventory in stock. That is not subject to these reciprocal tariffs. As a result, we are anticipating that Q4 will be very minimally impacted by the tariff increase. So the demand continues to continue, and our commitment to deliver on time is also in the process.
Kevin Royal: Yeah. Rob, this is Kevin. As you can imagine, the tariffs were a bit of a shock to the system. And we're working with our customers to really, you know, gauge demand given, you know, an unnecessary increase in selling prices to cover those tariffs. I think, you know, as Krishna mentioned in an earlier answer, it is certainly true that, you know, we're feeling as though we could come out of this with a competitive advantage from a cost standpoint. And we are seeing, you know, early activity and quite a bit of incoming inquiries resulting in our Salesforce putting more quotations out to customers and potential customers.
Rob Brown: Okay. Great. Thank you. I'll turn it over.
Operator: There are no further questions. Please continue.
Krishna Vanka: Thank you, operator. I would like to thank each of you on this call for joining our financial results conference today. And we all here look forward to continuing to update you on our progress quarter by quarter and the growth we are making. Thanks. And have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.